Operator: Greetings, and welcome to the Atlanta Braves Holdings Second Quarter Earnings Call. [Operator Instructions] Thank you. And as a reminder, this call is being recorded. At this time, I would like to turn the call over to Cameron Rudd, Vice President of Investor Relations.
Cameron Rudd: Before we begin, we'd like to remind everyone that on today's call, management's prepared remarks may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated, including those set forth in the Risk Factors section of our annual and quarterly reports filed with the SEC. Forward-looking statements are based on current expectations, assumptions and beliefs as well as information available to us at this time and speak only as of the date they are made, and management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA. The full definition of non-GAAP financial measures and reconciliations to the comparable GAAP financial measures are contained in the Form 10-Q and earnings press release available on the company's website. Now I'd like to turn the call over to Terry McGuirk, Chairman, President and CEO of Atlanta Braves Holdings.
Terence Foster McGuirk: Good morning, and welcome to the Atlanta Braves Holdings Second Quarter 2025 Earnings Call. Before diving into our results, I wanted to take a moment to thank everyone who joined us virtually and in person for our first Investor Day in June. It was a special moment for our entire organization, and I speak on behalf of the full team when I say, how proud we were to finally show you what we have achieved in building the Battery and the ballpark, and creating such an outstanding experience for baseball fans and the general public. It was a great opportunity to highlight how our sports, entertainment and real estate businesses come together to create something truly unique and powerful. A few short weeks later, we were honored to host MLB's All-Star game right here at Truist Park. Notably, 3 of our own players were selected to participate for the National League: Ronald Acuña Jr., started in the outfield; Matt Olson and Chris Sale were both named to the team and Matt also competed in the Home Run Derby. We also honored the Great Hank Aaron in a moving tribute during the game on Tuesday night. The energy around the event was incredible. Over the course of All-Star Week, more than 137,000 tickets were purchased for events inside Truist Park, and over 250,000 people visited the Battery, and experienced firsthand our world-class neighborhood and all the food and entertainment that we have to offer. It was truly another great opportunity to showcase Atlanta, Truist Park and the Battery to baseball fans from around the world. In addition to All-Star Week hosted here in Atlanta, we were incredibly proud to have been selected to participate in MLB's Speedway Classic at the Bristol Motor Speedway in Tennessee last weekend. The game broke the single game regular season attendance record with more than 92,000 fans in attendance, 70,000 of which were Braves fans, again, underscoring the strength of Braves country as well as the game of baseball. Now turning to our performance on the field. This season has been a difficult one from the beginning. We started the season without 3 stars Jurickson Profar, Ronald Acuña Jr. and Spencer Strider, and endured a very tough opening road trip. And while we were fortunate to get these 3 back on the field, we have endured some of the hardest injury news I have ever witnessed. Since opening day, we have lost all 5 of our opening days starting pitchers to injuries, and Ronald is once again on the [ IL ]. Baseball is unpredictable. And while we continue to try and weather the storm, these tough injuries have definitely impacted our team record in a significant way. While it's a challenge to compete in the short run, we are doing everything we can to get our players back on the field and finish the season strong. Now that's the bad news. The good news is that almost all of our injured players are expected to be healthy and ready for the 2026 season. So our hope is that we can return to national dominance by next spring. Our goal is to compete for a World Series title every year, and anything short of that is a disappointment. We will be doing everything we can in the off-season to return to our winning waves. Before I turn it over to Derek, Mike and Jill, I'd like to make the observation that the business model that we have created here at the Battery, the ballpark and the array of entertainment options drives consistent fan loyalty and economic success in a game where winning and losing can turn on the luck of an injury. What we have built in Atlanta is the model that every other MLB franchise is chasing because of our ability to deliver consistent results in a cyclical sports team environment. As the Wall Street Journal on July 15 said in an article on the Braves and I quote, "They have become an economic juggernaut and have turbocharged perhaps the most profound change in professional sports in a generation." I want to thank the Wall Street Journal. I couldn't have said it better. So this is the concept that I would direct your focus to. Not only is our new business model successful, but more importantly, it fuels our efforts to return to perennial world series contenders again. And with that, I will now turn it over to Derek, Mike and Jill, who will walk through the results from the quarter.
Derek G. Schiller: Thank you, Terry, and good morning to you all. As Terry mentioned earlier, we are fortunate to have a strong and loyal fan base, many of whom come to Truist Park and the Battery to watch games and experience the festivities around our games. We are also fortunate to have a strong and loyal ticket base which we call the A-List. Their commitment underscores the strength of Braves Country. Our premium and regular season tickets are sold out for the rest of the year as are most of our single game hospitality spaces, and these represent a significant portion of our ticketing revenues for any given season. We continue to see strong demand for our tickets overall, but we do expect to see some reductions in attendance now that school has started and given our team performance. And while show rates are down slightly compared to last year, a significant portion of our event revenue is relatively stable and predictable. We continually evaluate our ticketing marketplace as we look to optimize our mix in the stadium between season tickets, group tickets and single game options. This is an evolving process and one that we focus on to maximize our fan experience and opportunities for ticketing offerings around the ballpark. Our season ticket package, in particular, continues to offer exclusive benefits to our A-List members and has one of the highest discounts against market demand in all of Major League Baseball. Our broadcast changes have been well received led by the new offerings FanDuel Sports Network is bringing to the marketplace, including their direct-to-consumer streaming service. This streaming subscription allows all fans with Internet service in our defined television territory to be able to watch games and FanDuel Sports Network has indicated that the Braves games are among the most watched in MOB via FanDuel streaming platform. Additionally, we added an over-the-air broadcast option in partnership with Gray Media that adds 15 simulcast games this season with about half of those already broadcast in the first half of the season. Gray has added additional Braves programming to these broadcasts, which has opened up a new audience who has shown great interest in following Braves related programming. Overall, the broadcast changes we have made with these 2 partners have been well received and have given us significant insights into the robust fandom throughout Braves Country. Back here at the ballpark, we are proud of having what we believe is one of the top experiences in baseball. And some of our recently completed master planning projects further emphasize this point. Our new Children's Healthcare of Atlanta Park located inside the stadium has quickly become a favorite with some of our youngest fans and parents alike. The Wiffle ball field and climbing wall are some of the most popular attractions. Our outfield market continues to be a successful addition to the ballpark expanding our food offerings beyond the classic stadium experience and featuring local restaurants from across Braves Country. Coupled with the growing entertainment options at the Battery, the experience of attending a Braves game continues to be a strong draw. To close, as Terry mentioned, we are coming off of a very successful All-Star Week, where the baseball world shined a spotlight on what we have built here, and they were all amazed. We continue to be operationally strong, strategically adaptable and focused on creating great experiences and lifelong memories for our fans. So on behalf of the entire organization, thank you to our staff. We've worked tirelessly with all that has been going on to our players for their perseverance, to our shareholders for your continued support and most of all to those fans who were the A proudly on their hats. With that, I will now turn the call over to Mike, who will walk you through our real estate business and results in detail.
Michael P. Plant: Thank you, Derek. Our real estate strategy remains a cornerstone of the Braves business model designed not only to support our team on the field, but also to drive consistent reoccurring revenue. The strength and versatility of our real estate portfolio were on full display during All-Star Week. We had the opportunity to show the world what we've built, a dynamic multiuse hub for sports and entertainment. The Battery Atlanta played a key role in why we were selected as host reinforcing our reputation as a premier destination. Now on to a few key real estate development updates. First, we're proud to announce the official opening of the new Truist Securities headquarters at the Battery Atlanta, where employees have started to move in. Approximately 1,000 employees will populate the office at full capacity, creating both incremental revenue and increased foot traffic for surrounding retail, dining and entertainment offerings. Second, Shake Shack has officially opened its doors to their newest flagship location beaching the brand's first-of-its-kind bar as well as their second U.S. support center office space located in over 25,000 square feet of 2 ballpark center. This partnership is both strategic and brand aligned, and we're excited to welcome Shake Shack fans and staff. Third, at Pennant Park, we've made meaningful progress. We've invested over $1 million on capital infrastructure and amenity upgrades and are actively pursuing over 100,000 square feet in new or renewal deals which we hope to announce later this year. As an example of the strong tenant profile we have, Home Depot, one of our largest tenants in Pennant Park, just spent over $1 million in improvements to their current footprint, including adding a new restaurant cafeteria. Moving on to overall performance of the Braves Development Company. We're seeing strong demand across retail, entertainment and office segments, highlighted by both renewed leases and new tenants that align with our premium positioning. We are constantly evolving our tenant mix to provide the best experience to millions of fans and visitors who visit the Battery Atlanta. Recent example of this are the new Shake Shack replacing Wahlburgers or walk on sports bistro replacing the older Mac McGee's Irish Pub. This highlights both the draw we have for our highly coveted location and the ability we have to continuously optimize our campus. We're incredibly proud of what we've built. As always, we remain opportunistic about our pursuit of projects and partnerships that reflect our vision for future development. We believe we're building something truly unique and lasting, not just for our fans, but for the broader community, driving engagement, economic growth and value creation. With that, I will now turn the call over to Jill Robinson to discuss the company's financials.
Jill L. Robinson: Thanks, Mike. Before I begin, I want to remind everyone that a majority of our revenue is seasonal and is aligned to the baseball season. During the second quarter of 2025, we played 40 home games and 38 away games. In the second quarter, total revenue was $312 million, up over 10% from $283 million in the second quarter of 2024. We continue to be very pleased with our revenue growth. As a reminder, the company manages its business based on the following reportable segments: Baseball and mixed-use development. Baseball revenue was $287 million in the second quarter of 2025, up from $266 million in the second quarter of 2024. This revenue increase was driven by a combination of increased event, broadcasting and other revenues. Baseball event revenue increased $9 million during the second quarter of 2025 as compared to the corresponding period in the prior year, primarily due to contractual rate increases on seasoned tickets and existing sponsorship contracts as well as new premium seating and sponsorship agreements, offset by attendance-related reductions in concessions revenue. Broadcasting revenue increased to $81 million in the second quarter of 2025 compared to $71 million the prior year, primarily due to the impact of our renegotiated local rights agreement signed at the end of 2024. As a reminder, the second quarter represents the first full quarter of broadcast revenue under our new agreement and includes additional streaming rights granted to our regional broadcast partner. Other revenue increased $3 million during the second quarter of 2025 as compared to the corresponding period in the prior year, primarily due to events held at Truist Park, including one concert. Next, our mixed-use development revenue was $25 million in the second quarter of 2025, up from $17 million from the same period last year. This was primarily driven by an $8 million increase in rental income and, to a lesser extent, sponsorship and parking revenue. Notably, the second quarter includes the first full quarter of revenue from our Pennant Park acquisition, which closed on April 1 of this year. We are on track to deliver approximately $20 million in additional net operating income this year due to our acquisition of Pennant Park and the new Truist Securities headquarters. This is in line with previous estimates provided during our Investor Day event. Adjusted OIBDA was $66 million in the second quarter of 2025, up from $46 million from the same period last year. This improvement was due to an increase in both baseball and mixed-use development revenue, partially offset by an increase in baseball operating costs, including increased revenue share expenses and expenses for events held at Truist Park and increases in mixed-use development operating expenses and SG&A expenses. Our operating income was $42 million in the second quarter of 2025, up from $25 million in the second quarter of 2024, primarily due to increased revenue. As of June 30, 2025, the company had $96 million of cash and cash equivalents. Nearly all of our cash and cash equivalents are invested in U.S. treasury securities, other government securities or government guaranteed funds, AAA-rated money market funds and other highly rated financial and corporate debt instruments. As of June 30, 2025, our mixed-use borrowings have increased in the quarter to support capital projects. We have $275 million of untapped liquidity in the form of 2 baseball revolvers, which we believe provides us flexibility for the future. And with that, operator, let's open the line for questions.
Operator: [Operator Instructions] And our first question comes from the line of David Joyce with Seaport Research Partners.
David Carl Joyce: I appreciate your comments on the new FanDuel and Gray TV rights agreement. But with some of the major league baseball rights coming up in a Disney renegotiation. And with industry buzz that MLB could look to do something on a localized rights package, what would the impact be on you and on the current local media rights that you have?
Terence Foster McGuirk: Well, David, thank you. The -- we think that our media rights are continue to be very valuable. And the current news out there does nothing but enhance the marketplace for sports programming in the future. We are in a very, very favorable position in the Southeast. And MLP's leadership, I think, will drive continued enthusiasm for our product.
Operator: Your next question comes from the line of Barton Crockett with Rosenblatt.
Barton Evans Crockett: Okay. Great. And -- yes, I wanted to ask a little bit more about the media arrangement there, the new local arrangement. You spoke about the streaming being included in the contract for the first time and some constructive kind of thoughts around that. But I was just wondering, is there any more detail you could give us in terms of the uptake of subscription streaming that would include the Braves and the overall kind of streaming audience. If you could give us a little bit more detail on that, I'd be kind of curious. And then secondarily, I mean, your business is growing like maybe I've never seen in terms of the figures you've reported, which is great. But is this a situation where this also maybe presents an opportunity to reinvest some of this growth in cash flow into payroll or the team as you look ahead?
Derek G. Schiller: Yes. Barton, Derek here. I'll answer the first part. Terry might want to expand a little bit on that second part. So -- as it relates to our media deal, just as a reminder, we essentially restructured the agreement, which was already, as Terry indicated, pretty favorable for us. We've got this really large footprint or defined television territories, one of the largest in baseball. And so in taking advantage of that part of the restructuring allowed us to do two things: One is it opened up the direct-to-consumer streaming opportunities with FanDuel. And while we're not going to go into the specifics of the audiences or the subscriptions, that's something that's the FanDuel reported entity. Those subscriptions, we believe, based upon what FanDuel has indicated publicly are quite substantial for the Atlanta Braves. And essentially, the way that you should look at this is we've opened up for all intents and purposes, the entirety of that defined television territory by having that streaming audience. So we think that's been very robust. FanDuel is very pleased with that. We're very pleased with that. The second piece of that restructure was allowing us to have a certain number of games that we could go out into the marketplace and potentially secure an over-the-air partner, which is exactly what we did with Gray Media. And so this year, in addition to that direct- to-consumer stream, as well as the traditional distribution, we now have 15 games that are available to our fans via -- over the air. And Gray has been a terrific partner. They've supplemented that with additional ancillary programming. And if you think about those 2 audiences and looking at the ratings, they're incremental to one another. They're not cannibalizing each other. And so for those 15 games, we're seeing even more of an audience get delivered, which really emphasizes the point about how Braves programming is sought after and it's something that when we give the opportunities, our fans are really clamoring for, we're seeing those audiences delivered for us. So -- been very good for us. I'll let Terry take the payroll question.
Terence Foster McGuirk: So I think -- if I could restate, I think the question was, as we have the continuing upward trend of our business, will those dollars be reinvested in payroll. And I'd start off saying that we have been a top 10 payroll team for some period of time. I see us continuing to maybe move up that ladder. We're -- we had dry powder in our arsenal for trade deadline this year for payroll. Our threshold for investment there was basically that investment either needed to move us towards a playoff position this year or help us dramatically in '26. And our limited activity during that period sort of reflected the inability of the market to meet those 2 requirements. We're disappointed with the year. We -- it's -- there's some underperformance, but the majority of it is injuries and missing players. Everyone is back for spring training '26. We expect to have a team that can be -- this -- earlier this year, we were favorite to potentially be in the World Series this year. I think we will line up in that kind of a mode again next spring. And we will take a very hard look at the team and at everything that contributes to winning and losing during this off-season. And of course, this is not the time to comment on those things. But -- we take -- we know what our mandate is, and investment in the team is part of that.
Operator: And your next question comes from the line of Steven Sheeckutz with Citi.
Steven Sheeckutz: I know you just closed on the Pennant Park acquisition, but just curious, any updated thoughts on how investors should be thinking about the scope and timing of potential future real estate development opportunities?
Michael P. Plant: Steven, this is Mike Plant. We -- one of the things we've reminded ourselves is that we've owned this acquisition for a little more than 4 months now. But in that period of time, we've invested over $1 million in capital. We've actually met with all of the tenants on several occasions. And I will say that's the first interaction they've had with a landlord in about 2 years. So -- what I think is unique about our acquisition is that they are now part of the Battery in the Atlanta Braves organization. They've -- they're starting to understand the value of that and being connected with us, the strength of what this organization can certainly provide to them from a real estate standpoint and just even an interaction of landlord tenant relationships. We have about 100,000 square feet of renewal and new lease activity that is currently in play. We expect to announce some of those in the next couple of months. As I said earlier in my comments, Home Depot, for example, has invested over $1 million and putting a new cafeteria and restaurant in their operation. We think that's a pretty good indication of some long-term opportunities with them for Pennant Park as well. So we're really happy where we are in a short period of time, and I believe I can speak to the tenants they are as well.
Operator: And with that is last question in today's queue, I will turn the call back over to Cameron for closing remarks.
Derek G. Schiller: Okay. Thank you. It's Derek. On behalf of the organization and all of us that join here today, thank you very much for participating in today's call. We look forward to closing the season off as strong as we can. And thank you for your participation.
Operator: Thank you again for joining us today. This does conclude today's conference call. You may now disconnect.